Operator: Ladies and gentlemen, thank you for standing by. Welcome to the FIS First Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session. Instructions will be given at that time. As a reminder, this conference is being recorded. I'd like to turn the call over to Pete Gunnlaugsson. Please go ahead.
Peter Gunnlaugsson - Fidelity National Information Services, Inc.: Thank you, David. Good morning, everyone, and welcome to FIS's first quarter 2018 earnings conference call. Turning to slide 2, with me today are Gary Norcross, President and Chief Executive Officer; and Woody Woodall, Chief Financial Officer. Gary will begin today's call with company highlights for the quarter and Woody will continue with the financial results. This conference call is also being webcasted with today's news release and corresponding presentation available on our website at fisglobal.com. Moving to slide 3, today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise, except as required by law. I refer you to the Safe Harbor language on the slide. Materials presented today will also include references to non-GAAP financial measures in order to provide a more meaningful comparison between the periods presented. Reconciliations between the GAAP and non-GAAP results are provided in the attachments to the press release and in the appendix of the supplemental slide presentation. Turning to slide 4, it is now my pleasure to turn the call over to Gary to discuss the business highlights for the quarter. Gary?
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you, Pete. Good morning and thank you for joining us. I'm very pleased to announce today that FIS delivered a very strong quarter and start to the year, exceeding our revenue, profitability and earnings expectations, and delivering exceptional margin expansion. Based on these results and a robust forecast, Woody will be increasing our EPS guidance for the full-year. Top line growth was driven by balanced execution across our IFS and GFS segments. Key factors include the sales momentum we have been discussing for the past several quarters; the continued expansion of existing client relationships; growth of our clients through higher volumes of transactions and accounts; and new client logos. We continue to be pleased by the accelerating market momentum globally for our products and services. Turning to slide 5, in the quarter, revenue increased over 3% to $2.1 billion. We expanded EBITDA margins by 340 basis points and adjusted earnings per share grew 33% to $1.09 per share. We delivered the strong results for continued execution of our strategic plan, investing for growth in our focus areas and driving increased efficiency within our operations. We have capitalized on our year-end sales momentum by successfully turning demand into closed deals and further expanding our strong pipeline. Our Integrated Financial Solutions segment drove top line organic revenue growth of more than 3% for the quarter. Q1 sales were robust, building on the momentum we experienced in the previous quarter. Demand remains strong for our Retail Banking, Wealth and Digital Solutions. Outsourced solution deployments in key business verticals were particularly strong in the quarter. And we saw increased end-user adoption and transaction volume growth across our digital banking platforms. Our GFS segment delivered top line organic growth of over 5% for the quarter. Growth across the segment was fueled by diverse mix of license revenue from global institutions, especially within the capital market offerings, as well as higher processing and transaction volumes across multiple businesses. Core banking, buy-side and post-trade processing, drove especially strong results. Margin expansion was exceptional this quarter at 650 basis points, driven by growth in our high margin IP-based offerings and through the positive impact from divestitures of lower margin and non-strategic businesses. Going forward, we are disclosing a new revenue backlog metric which provides insight into the total revenue under contract. We entered this year with a revenue backlog of about $19.5 billion, speaking to the strong forward visibility. Woody will provide additional insights. Turning to slide 6, we continue to execute on strategic actions that reinforce our plan to drive transformational results for clients and FIS. This includes executing on our significant investment in continuously modernizing our offerings to meet client demand and drive our near- and long-term growth. Some of the capabilities we will be delivering in market for 2018 include: bringing new core banking capabilities to market that are built on cloud-based technology with common reusable components which deliver, speed agility and efficiency for clients; consolidating payment platforms into our Unified Payments solution that delivers a consistent modern user experience across all payment transaction types; delivering our integrated omni-channel Digital One strategy that provides modernized digital banking experiences complete with personalization, mobility and social engagement capabilities; bringing our next-generation post-trade solution to market, tripling processing power and performance; continuously adding new APIs to our very robust online gateway, Code Connect, which offers nearly 1,300 APIs for financial services; and deploying more than 50% of our solutions into the FIS private cloud environment. Proof that these investments are creating strong interest and demand, three weeks ago, we hosted more than 3,000 clients, prospects and partners at one of our large annual client events. This venue provided the platform for our clients to learn more about our strategy and modernization investments and get hands-on with nearly 170 solutions that provide proof of the investments we are making to help them modernize for their future. Feedback from our clients has been overwhelming positive and results of the conference show a strong increase in demand for our solutions. This feedback, coupled with our strong first quarter results and robust pipeline, underscores our confidence in our strategy and investment decisions, and gives us clear line of sight into our ability to deliver on our 2018 goals and beyond, which are to innovate for long-term growth, drive strong sales with competitively differentiated solutions, and build on our global scale. We remain very confident in the value we are delivering for our clients and believe that will continue to translate into strong returns for our shareholders. Woody will now provide additional detail on the financial results for the quarter and full year. Woody?
James W. Woodall - Fidelity National Information Services, Inc.: Thanks, Gary. I'll begin on slide 8 with a summary of our consolidated results for the quarter. As a reminder, our first quarter 2018 results and comparable historical financials reflect the adoption of ASC 606 on a like-for-like basis. In the first quarter, revenue increased 3.3% on an organic basis to $2.1 billion and EBITDA increased 6.7% to $705 million. EBITDA margin expanded a healthy 340 basis points to 34.1% and adjusted earnings per share grew 33% to $1.09 per share. We entered the year with a more focused set of assets. We're now seeing increasing demand in the markets and improved sales momentum. Our first quarter results reflect the strength of our business model and the success of our sales teams have had over the last six months. Moving to slide 9, in the first quarter, IFS revenue grew 3.2% on an organic basis to $1.1 billion and EBITDA grew to $451 million versus $439 million in the prior-year quarter. EBITDA margins expanded 10 basis points to 42.5%. Turning to slide 10, Banking and Wealth grew 5.7% for the quarter. This positive performance was driven primarily by the onboarding of new wealth accounts as well as higher processing volumes. Payments declined 1.6% driven by the card production business, lower termination fees, and a tough license comparable. We saw some positive signs for the remainder of the year with healthy transaction volume growth in our debit business and fraud solutions. We expect these volumes to continue to grow, giving us visibility and confidence for low-single digit growth for the full year. Corporate and Digital grew 5.7% for the quarter. Growth was driven primarily by new client onboarding to our mobile platform, increasing user adoption, and higher volumes for our small business solutions. We also saw strong growth within our Corporate Treasury Solutions. As expected, term fees were relatively flat at $17 million in the quarter versus $18 million in the prior-year period. Turning to slide 11, in the first quarter, GFS revenue grew 5.4% on an organic basis to $927 million, while EBITDA grew 15.2% to $305 million. Margins expanded 650 basis points to 32.9%. Approximately half of this expansion was driven by continued growth of higher-margin IP revenue in the quarter and operating leverage in our business. The remaining expansion reflects the removal of our consulting business divested late last year. We are pleased with the consistent improvement of the margin profile of this segment. Moving to slide 12, for the quarter, our Institutional and Wholesale business grew 6% and we saw increased volume growth across our solution suites in the buy-side space and strong license sales with global institutions. We're very pleased with the start to the year for this group. As outlined in the February call, we do not expect similar growth in the second quarter based on the timing of 606 [ASC 606]. We remain confident in our full year growth of 4% to 5% for GFS and an acceleration of revenue growth in the back-half of the year. Banking and Payments grew 4.8% primarily driven by a large international core banking license sale and higher transaction volumes resulting in growth across all geographies, in particular, Asia-Pacific and Europe. Moving to slide 13, Corporate and Other revenue in the first quarter was $80 million, with an EBITDA loss of $51 million. The Corporate and Other segment results include $67 million of corporate expenses for the quarter compared to $70 million in the prior-year period, a reduction of 5% reflecting continuing cost management. Moving to slide 14, cash flow for the quarter was $226 million. First quarter cash flow was primarily impacted by a one-time shift of approximately $100 million in tax payments related to Hurricane Irma from late 2017 into the first quarter of 2018. To a lesser extent, cash flow was also impacted by the timing of working capital. Despite these headwinds, which were contemplated in our full-year forecast, we remain confident in our full-year target of approximately 110% free cash flow conversion. Debt outstanding as of March 31 was approximately $9.1 billion. The weighted average interest rate is 3.3% and approximately 95% of our total debt is fixed rate. As expected, our effective tax rate for the quarter was 20%. For the first quarter, we returned $500 million to our shareholders through dividends and share repurchases. We paid $106 million to shareholders in dividends for the quarter and repurchased 4.1 million shares for approximately $400 million. In April 2018, we repurchased an additional 2.1 million shares for approximately $200 million, bringing our year-to-date total to 6.2 million shares for approximately $600 million. Approximately $3.3 billion remain in our existing share repurchase authorization. Finally, the weighted average diluted share count is 334 million at the end of the quarter and our basic share count was 330 million. Starting this quarter, we will begin disclosing our revenue backlog. Revenue backlog is defined as revenue signed and under contract, which will be recognized in future periods. As Gary mentioned, the current backlog is approximately $19.5 billion. Over the next 12 months, we expect to recognize about one-third of this revenue or approximately 80% of our 2018 revenue guidance. The remaining two-thirds of the backlog will be recognized in future periods. Our consolidated recurring revenue figure for the first quarter was 84%, which is in line with what we had previously messaged. Moving to slide 15, this morning we announced that we are raising our adjusted EPS guidance. Our previous full-year EPS guidance was $5.10 to $5.30 per share, which we are raising about $0.04 given the strong operating performance in the first quarter. Therefore, we are now expecting 2018 full-year adjusted EPS of $5.14 per share to $5.34 per share, representing 20% to 25% growth. We are confident in our increased full-year earnings per share guidance. Although one quarter does not make a year, we are very pleased with the start of 2018. For the remainder of the year, we will continue to leverage our significant investments in market-leading solutions and client service to produce strong cash flows and maintain a healthy balance sheet. This value-added business model creates predictable and consistent top line growth. Our ability to drive ongoing margin expansion and strong cash flows allowed us to invest for future growth and return cash to shareholders. In closing, we're excited to see you next week, Tuesday, May 8 at our 2000 (sic) [2018] Investor Day in New York City. That concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: And our first question will come from the line of Dave Koning with Baird. Please go ahead.
David J. Koning - Robert W. Baird & Co., Inc.: Yeah. Hey, guys, Great job again.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks.
James W. Woodall - Fidelity National Information Services, Inc.: Thanks, Dave.
David J. Koning - Robert W. Baird & Co., Inc.: Yeah. And I guess, first of all, Q1, if I remember right, in the whole first half was supposed to be a little slower than the rest of the year. And I think maybe even the margins not quite as good as the rest of the year, but margins were right at the top-end, I think, of guidance, growth – revenue growth right about at the top-end too. Maybe what drove it to be better than you expected in Q1? And does that momentum kind of keep going through the year so it may be closer to the higher end of revenue growth from the lower end? Or did Q1 steal a little bit from the rest of the year, just that dynamic?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, no, I'll start, Dave, and let Woody add. We had a very strong Q1 across the board. We had really good sales in Q4. It came into Q1 and had really good sales in Q1 as well. As we talked prior in the call, that gives us confidence for the back half of the year, because most of our sales, as you know, there's a long sales cycle and then there's a long onboarding cycle. But we also had some nice license deals out of GFS that the team did an excellent job on in Banking and Payments in various regions. We continue to see good strong momentum on our synergies, while we finished the overall SunGard synergy program, we had not completely finished all of the programs we've had lined up. So, we've actually – we're onboarding some of those through the back half of last year and into this year, and that's generating results on the margin. So, really just across the board we just had a really good quarter. Woody talked about our transaction volume, and so that we're improving in Q1 as well and all that just translates into very high – higher revenue than we expected at very nice margins.
James W. Woodall - Fidelity National Information Services, Inc.: Yeah, Dave, if you think about it, we certainly feel incrementally better about the full-year. There are certainly some timing items in Q2 we talked about, but we feel incrementally better about the full-year. That's why we raised both bottom-end and top-end of the EPS guidance.
David J. Koning - Robert W. Baird & Co., Inc.: Got you. And I guess just a follow-up. As we think about Q2, because you mentioned the timing issues and stuff, is that more – you are above the top-end, close to 3.5% in Q1, should it be backed on to like 2.5% in Q2 and then the rest of the year, I guess, we can figure it out later, but is that kind of what you're thinking for now?
James W. Woodall - Fidelity National Information Services, Inc.: I would say, more directly we're right on top of consensus estimates for Q2.
David J. Koning - Robert W. Baird & Co., Inc.: Okay, got you. That's great. Well, great job, guys. Thank you.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks, Dave.
Operator: Next to the line of David Togut with Evercore ISI. Please go ahead.
David Mark Togut - Evercore Partners: Good morning. Congrats on the strong results.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks, David.
James W. Woodall - Fidelity National Information Services, Inc.: Thanks, David.
David Mark Togut - Evercore Partners: The Institutional and Wholesale business accelerated versus the fourth quarter up to 6% organic. Are the drivers behind that growth sustainable and is 6% a number we should be thinking about for the rest of the year?
Gary A. Norcross - Fidelity National Information Services, Inc.: Well, let me talk about it from the sales channel. We're very pleased where the Institutional and Wholesale team is executing. We've had really good strong demand for sales across those product lines. As we talked in the past, David, we're seeing a lot of those customers, especially Tier 1 institutions where they built a lot of those capabilities in-house, they're now looking to lower their total cost of ownership. You've seen the growth in our utility and post-trade, but you've also seen good strong license sales and also SaaS model sales across that group. So, it's really being driven by market conditions with just a lot of disparate capabilities and we saw all this in the SunGard due diligence, but it's really nice to see it coming forward through the sales channel, and people are just looking for more effective ways to really pull together the front, middle and back office with capabilities that lower overall cost of ownership. So, sales has been strong. You do get some lumpiness in the Institutional and Wholesale business because of the license fee nature, although we are pushing more and more to a SaaS model that will level that out over time, but we're very pleased with the growth rates in I&W and we continue to see very strong demand in the pipeline and the teams did an excellent job executing against that pipeline and closing business.
David Mark Togut - Evercore Partners: Got it. You seem more constructive about end-market demand than on the 4Q call. Are you seeing any sort of increased demand tied to the tax cuts in the U.S.; banks being more willing to spend that dividend?
Gary A. Norcross - Fidelity National Information Services, Inc.: Well, at times we can be a little more conservative. We saw good strong demand in Q4, but frankly, one quarter doesn't make a difference for us. We've now had two really strong sales quarters in a row, which gives us – frankly, it does make us lean in a little more to market conditions and seeing them improve. The pipeline looking forward into Q2, we feel good about our sales momentum going into Q2 and what the pipeline looks like there. So I do think right now, demand in the markets are improving.
James W. Woodall - Fidelity National Information Services, Inc.: And I think, David, that really gives us higher visibility in both back-half and more importantly, the out years, 2019 and beyond.
David Mark Togut - Evercore Partners: Got it. Quick final question. You alluded to some additional margin expansion initiatives beyond SunGard. What are those initiatives, and are those drivers of 2019 and beyond?
James W. Woodall - Fidelity National Information Services, Inc.: Yeah. I think, David, one of the things we've been talking about in the past is data center consolidation and one of the factors that could drive future margin expansion. We're seeing strong traction in that program to-date, and we're going to talk more about Phase 2 of that program next week, but we certainly see the ability to drive margins beyond 2018.
David Mark Togut - Evercore Partners: Understood. Thank you very much.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you.
Operator: And next we go to the line of Brett Huff with Stephens, Incorporated. Please go ahead.
Brett Huff - Stephens, Inc.: Good morning, guys. Congrats on a nice quarter.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thanks, Brett.
James W. Woodall - Fidelity National Information Services, Inc.: Thanks, Brett.
Brett Huff - Stephens, Inc.: Can you guys talk a little bit about your digital products? We've had some questions I'm trying to get a handle around. What do you guys kind of consider total digital revenue? And any sense of kind of how that's trending, growing, accelerating, et cetera, as you think about your business?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, we haven't necessarily disclosed the exact revenue of digital. It's been a very, very strong grower for us over the years. As I've just talked about in my prepared remarks, we're rolling out our new Digital One capabilities, which is really an omni-channel approach to digital, and frankly will be our third-generation digital that we've been deployed dating all the way back to 2008. We continue to see very strong demand across our client base. We've disclosed on prior calls more than 40 million consumers running, for example, our mobile banking app. But we think it's going to be a continued strong grower for us for the foreseeable future. Digital has really now moved beyond just the mobile banking experience and really has moved across true omni-channel, and we're excited about this next-generation capabilities we're rolling out. And that's a great opportunity for us to upsell our existing clients, but also continue to take market share with our leading capabilities.
Brett Huff - Stephens, Inc.: Thanks. My follow-up question is as you look across your portfolio of assets, you guys are a really big company and have lots of broad products. Where would you like to most add scale if you could? Or where is a hole in technology that you feel compelled to – most compelled to add to?
Gary A. Norcross - Fidelity National Information Services, Inc.: Well, for us, when we think about – when we think across our various verticals that we're serving, Retail Banking, Payments, Institutional and Wholesale, from a true product gap trying to fill, I would say we've got very little gaps there. You've seen us fill a few over the last several years. We made an investment, for example, in Wealth Management. We did something with Clear2Pay on real-time payments. But honestly, we feel very good about the portfolio. One of the things we'll be talking about next week in the investor update is really line of sight, and you're hearing us talk about some of the new capabilities we're bringing to market which will allow us to consolidate, frankly, in some instances two, three, four platforms down to one next-generation capability. From a scale standpoint, we do feel that scale's always an important – and while we have tremendous scale especially in the processing world, as we talked about our revenue backlog today, we would – we'd be interested in adding scale across any of those three verticals if it made sense for our shareholders and for the company.
Brett Huff - Stephens, Inc.: Great. Thank you, guys. I appreciate it.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you.
James W. Woodall - Fidelity National Information Services, Inc.: Thanks, Brett.
Operator: Next question comes from the line of Jim Schneider with Goldman Sachs. Please go ahead.
James Schneider - Goldman Sachs & Co. LLC: Good afternoon. Thanks for taking my question. Maybe Gary, could you maybe update us on the kind of the broad outlook at your bank customer set both in terms of what you see with respect to the consolidation of your customers, the bank M&A landscape? And then also, it sounds like there is a little bit more incremental willingness to spend on discretionary items in terms of outsourcing. Is that something you think that's kind of really picked up in terms of your conversations with clients?
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah, Jim, it's a great question. We're not forecasting a drop in consolidation in the industry. We think that consolidation will stay steady, although with me talking to clients as much as I do, a consistent theme are valuations are getting expensive, right? So, as people look at their various opportunities to do acquisitions, that will come into play. But we do think through 2018 we'll see fairly consistent consolidation in the industry. From a demand standpoint, I do see increased demand. We're seeing it in our sales channel and closing. Frankly, we run multiple large user conferences, just giving the size of our company, we just completed, as I said, three weeks ago our first one. We got our next one coming up in another three weeks. And both of those enrollment, it was up tremendously year-over-year, which also shows that banks are willing to start spending more discretionary dollars on travel to actually get exposed to new capabilities. So, there's a couple of things that would indicate demand is definitely growing over the last two quarters and we're seeing that push into the second quarter as well. So, Woody and I are pretty confident in the remainder of the year that that demand is going to continue. But we also think that you'll continue to see some fairly significant consolidation going on in the industry, assuming valuations don't just continue to rise at a too high of a rate.
James Schneider - Goldman Sachs & Co. LLC: That's helpful, thanks. And maybe as a follow-up, speaking of expensive valuations, can you maybe just kind of give us your updated thoughts on the M&A landscape in terms of targets for FIS, specifically your view on valuations? And any kind of complementary businesses, whether that be merchant acquiring or I&W businesses or other areas where you think there could be attractive targets, M&A relative to share buyback?
Gary A. Norcross - Fidelity National Information Services, Inc.: Well, we're confident that we can do M&A activity and it drives tremendous shareholder value, as indicated by the SunGard acquisition. But what I'd share with you is, we also are a mature buyer. In other words, we can look across Retail Banking, we can look across Payments, we can look across Institutional and Wholesale, and there would be certain opportunities in any of those three verticals that could make sense. Valuations are high. Probably not telling you anything you don't know. So, for us, we're very confident in our strategy we have, we're very confident on our increasing organic growth and expanding our margins. So – but if an opportunity presented itself, that made sense, that brought us a new product or capability to one of those existing verticals, or broke us into an adjacent market we found interesting, and we could do that and really return a lot of value to our shareholders, we consider it.
James Schneider - Goldman Sachs & Co. LLC: Thank you very much.
Operator: And next we move to the line of Joseph Foresi with Cantor Fitzgerald. Please go ahead.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. I was wondering if we could get an update on the debt retirement plan, and have your targets changed at all with M&A being less of an opportunity?
James W. Woodall - Fidelity National Information Services, Inc.: No. So, we closed out 2017 with about $8.8 billion in debt. That ticked up slightly in Q1, which was expected. We anticipate aggregate debt to be down slightly year-over-year and leverage to come down based on our EBITDA growth. So, we will pay debt down slightly over the course of the year. We bought back about $600 million of shares to-date – year-to-date, and we continue to look at that as a use of excess cash flow as well.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And then, on the margin front, can you remind us of the margin drivers? I think, the top driver has been data center consolidation in the past. Maybe you can give us an update on where you stand with that. I just hope I'm not stealing anything from the Analyst Day. Thanks.
James W. Woodall - Fidelity National Information Services, Inc.: Well, I think, more broadly, the last few years have been a lot of synergy from a margin expansion perspective. This quarter you had a couple of components. One, we really saw high margin revenue growth as the main driver of margin expansion. We certainly are seeing increased traction around our data center consolidation that will drive future expansion in the back half of the year, and in 2019 and beyond, and then, we've seen some divestiture of low margin businesses. That's a combination of the three main drivers of margin expansion.
Joseph Foresi - Cantor Fitzgerald Securities: Thank you.
Operator: Next question comes from the line of Andrew Jeffrey with SunTrust. Please go ahead.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Hey, guys. Good morning.
James W. Woodall - Fidelity National Information Services, Inc.: Good morning.
Gary A. Norcross - Fidelity National Information Services, Inc.: Good morning, Andrew.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Pardon me. Interesting to hear you talk a little bit about volumes as well as mix. And I think you, maybe Woody, you touched on a little bit in GFS in terms of license sales. Can you just expand a little bit on how sensitive the business is broadly to volume, how much visibility you have to changes in volume? And then, also, on the revenue mix side, is – I recognize in that SunGard historical is a little more license heavy than FIS. Is there anything meaningful that's changed sort of in the complexion of the business in that regard?
James W. Woodall - Fidelity National Information Services, Inc.: No, I wouldn't say we've had a meaningful change in the complexion of the business. We had an 84% recurring revenue base as the starting backdrop, which is very consistent with what we've talked about in the past of 80-plus percent. We did have high license revenues in the quarter, but we saw also increasing processing and – processing volumes. The processing volumes are a little more difficult to predict, but I think you look at it in terms of how the markets are performing, what do you see in the broader markets on the volume front. So, looking at both those combined, we feel very good about what we have, but no major change in the landscape or the revenue type in terms of what's driving it.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. And on the backlog figure which is helpful, thank you. Any color on how that's grown historically and sort of how that's translated into current period revenues, sort of the...
James W. Woodall - Fidelity National Information Services, Inc.: Yeah. I would tell you, our back testing, I would say, the translation in the revenue has been very similar, which really realigns to about an 80% recurring revenue number. That has ticked up some as we've divested the non-recurring revenue businesses that we've talked about in the past. We haven't spent as much energy going way back, looking at backlog as it's a relatively new disclosure, but obviously we'll be trending it going forward. It's obviously ultimately going to drive in line with our longer term growth rates.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: And as a last one for me. In that backlog figure, is it – is the incremental, let's say, just sequentially in the first quarter sort of similar to mix of business, in other words, little more contribution from GFS than IFS?
James W. Woodall - Fidelity National Information Services, Inc.: I would say the contribution is similar. As you think about our business on a broad scale, Andrew, it's a very predictable forecastable business. We have some lumps here and there in terms of license, but again, very predictable in terms of our ability to forecast.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah. Keep in mind, our IFS business has a much higher reoccurring revenue rate, right? So, as you think about it, it really is that revenue under contract and based on the remaining term of the agreement and onboarding. But, to Woody's point, it really onboards in that backlog very similar with the reoccurring revenue rate at the various segments.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. Thanks a lot.
Operator: Next we have the line of Glenn Greene with Oppenheimer. Please go ahead.
Glenn Greene - Oppenheimer & Co., Inc.: Thanks. Good morning. Gary, I just wanted to go back to sort of the sales track you've seen for the last couple of quarters, and nice to hear you talking about the macro environment getting better, one of the first companies sort of acknowledging that. But my question is really more where are you seeing the pickup in demand across products, service sets, if there's any? A little bit more color you could give us on where specific pockets of demand are.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah. Glenn, it's a great question, and honestly, we're seeing good strong pull-through across a number of our verticals. We're pretty excited about all the new capabilities. Over the last three years, when you – we were doing a lot of integration work on SunGard, but we were also doing a lot of innovation work around new capabilities and a lot of that's coming onto the – coming into market in 2018. So, we've seen really nice growth across our digital channels, both in volume, but also in sales momentum. We're seeing a lot of – several of our back office services as people are trying to drive costs out of their businesses and lower their overall total cost of ownership, seeing nice growth there. As we move over into GFS, we saw – we're seeing good demand on our new core capabilities, especially in some very large institutions and seeing good traction around some of those components and driving those into market. We've talked on several questions today about strength across Institutional and Wholesale. So, it's really a nice blend and that's one of the things that we always had felt great about FIS as we have such a diverse product portfolio. Our clients – various of our clients are investing in various areas based on their needs, and given our capability and strength of our capabilities, we can participate in those engagements.
Glenn Greene - Oppenheimer & Co., Inc.: Okay. And then, Woody, just a quick question on the Payments growth and outlook within IFS. That was the one sort of negative in the quarter, but it sounded like you've got confidence that that kind of accelerates in the back-half, and I think you suggested kind of low-single digit or some growth for the year. But maybe just to get a little bit of color on what you – why you've got visibility for Payments growth getting better in the back half?
James W. Woodall - Fidelity National Information Services, Inc.: Well, I'll get more specific on Q1. We had a term fee that was about a point of headwind. We had a license last year that was a difficult compare, which was about a point. You add those back, you're getting roughly 2 points of growth, and we anticipate seeing that. We saw underlying volume growth in both fraud and debit and are seeing visibility into those volumes into the back-half of the year. So we think that's the low-water mark for the Payments business this year.
Gary A. Norcross - Fidelity National Information Services, Inc.: Yeah.
Glenn Greene - Oppenheimer & Co., Inc.: All right. Great. Thank you.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you.
Operator: Next question we go to is Bryan Keane with Deutsche Bank. Please go ahead.
Gary A. Norcross - Fidelity National Information Services, Inc.: Bryan?
Bryan C. Keane - Deutsche Bank Securities, Inc.: I'm sorry about that. Just thinking about the increasing demand, you guys are seeing better sales, pipeline's strong, we've got a good recurring revenue backlog. But you guys decided not to raise the revenue guide. When does that translate all the stuff you're seeing better than expectations into potential upside to your top line?
James W. Woodall - Fidelity National Information Services, Inc.: Yeah, I would tell you, if you think about our sales and then when they're onboarding, it gives us higher confidence into the acceleration in the back-half of the year we've talked about. It also gives us a point of view around further accelerating in 2019 and beyond. We were – while very good this quarter, 3.3% was still within the top-end of our range for the year. And we're relatively conservative. So one quarter doesn't make a year, but as we've talked about, feel incrementally better about the year and we're certainly ahead of our plan to-date.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. Helpful. And then, I did see the stronger buyback in the quarter. Is that because you guys aren't finding much on the M&A front and we should expect more capital return in terms of buybacks?
James W. Woodall - Fidelity National Information Services, Inc.: Well, I think about it in terms of M&A being – continuing to be a part of our long-term strategy, but the deal's got to fit strategically and it's got to make good financial sense. We're disciplined buyers. We don't just buy to buy, and we feel like our balance sheet's healthy. We feel like our leverage is about where we need to be. So we would anticipate continuing to see share buyback over the course of the year, absent a good M&A deal with a good valuation that fits strategically. And I think that's evidenced by year-to-date $600 million of share buyback.
Bryan C. Keane - Deutsche Bank Securities, Inc.: Okay. Great. Thanks for the color, and solid quarter.
James W. Woodall - Fidelity National Information Services, Inc.: Thank you.
Operator: And next question comes from the line of George Mihalos with Cowen. Please go ahead
George Mihalos - Cowen & Co. LLC: Good morning, guys. Not to beat a dead horse around where the strength is coming from within the business, but maybe instead of looking at it from a vertical perspective, Gary, maybe you can talk a little bit about spending patterns in some of your Tier 1 banks versus some of the smaller community banks and maybe international versus domestic? Is it sort of broad-based strength? Or is something really standing out between those groups?
Gary A. Norcross - Fidelity National Information Services, Inc.: Well, I think, if there would be something that's really standing out, I'd try to make some of those comments, George. We've talked a lot about domestically in community banking this need to outsource virtually 100% of their capabilities on a SaaS model. What we're seeing especially in the larger banks and regional banks, both domestically and internationally, and I mentioned this in my prepared remarks, we continue to see an increased demand for SaaS in those markets as well. And one of the things that I've been surprised by, we continue to talk about that, but the size of the institution that's willing to consider outsourcing a product, whether it's debit or credit processing, whether it's core banking, whether it's Institutional and Wholesale, post-trade, we're continuing to see a stronger increased demand in those outsourcing trends, which gives us a lot of confidence. Now in the short-term, George, as you expect, especially in that GFS market, we have more license fees. So there's a balance. As people move more to a SaaS model, we could see some lumpiness and actually some pullback in our license fees, but we're very pleased by that trend. Obviously, as our reoccurring revenue continues to go up in GFS, that will raise the overall reoccurring revenue of the company, which certainly gives us much, much higher visibility, not only into our quarters, but into multiple years out in our backlog, et cetera. So I would say that's the thing that probably is standing out the most for me. And we just continue to see that trend accelerate in the last several quarters.
George Mihalos - Cowen & Co. LLC: Great. That's helpful. And then, Woody, can you just remind us what the expectation is for term fees for the full-year relative to 2017?
James W. Woodall - Fidelity National Information Services, Inc.: Yeah. Our expectation is relatively flat. We had about $62 million last year. We've got roughly $60 million in our forecast for the year.
George Mihalos - Cowen & Co. LLC: Great. Thank you.
Operator: And our last question will come from the line of Paul Condra with Credit Suisse. Please go ahead.
Paul Condra - Credit Suisse Securities (USA) LLC: Hey, thanks. Good morning. Thanks for taking my question. I just wanted to ask about the competitive environment and I wondered if that has anything to do with the improved demand that you're seeing from your customers. I know that, I think, a few quarters back, you mentioned that being a bit more of a headwind. So, could you comment on that and talk about how that's evolved?
Gary A. Norcross - Fidelity National Information Services, Inc.: I think it's still a competitive marketplace. No matter what market we're participating in, I think, we talked in quarters in the past, we might run into different competitors depending on the geographic region or the particular product line. But as I've also shared, we've got extremely competitive products and we're competing very well in the market and our sales teams are executing very well. We continue to invest behind our sales force and grow the sales force in our various geographic and market regions, and that's obviously going to continue to pay benefits as well as we onboard additional sales reps and get them up to speed. But, I would say, we've not seen any change in the competitive environment to speak of and – but our products just continue to perform very well in the market.
Paul Condra - Credit Suisse Securities (USA) LLC: Great. And I guess, just another question around demand. As you think about the impact of tax reform and I think a lot of institutions maybe are still in planning stages, but you're still seeing – you're seeing demand I guess early. Does it feel to you like a lot of your customers are budgeting things a year from now, two years from now? Or are things really getting underway this early?
Gary A. Norcross - Fidelity National Information Services, Inc.: I really do see – we've talked about it a lot on this call. We really are seeing just increased demand in market. I mean, Q4 was a strong sales quarter for us pretty much across the board. Q1 was a strong sales quarter for us across the board. Pipeline continues to grow and have good velocity. Interesting, on our user conferences with the increase in participation, typically that's the very first thing that's cut is travel when people are really curtailing expenses. And so, we're seeing a nice increase across all of our major conferences. So, all those would be good indicators for me that demand's growing and we feel it's going to continue. But as people are really entering into, as you guys know, our contracts are long-term in nature. And so, typically the sales cycle is anywhere from 6 to 12 months, probably closer to 12 months in duration. Our onboarding times are in a similar range. So, these are big strategic commitments, our clients are making the purchase mission-critical IP-centric capabilities. And so, we feel good about it.
Paul Condra - Credit Suisse Securities (USA) LLC: Okay, great. Thanks. Appreciate the time.
Operator: And that was our last question. I'll turn the call back over to our speakers.
Gary A. Norcross - Fidelity National Information Services, Inc.: Thank you for joining us today and for your ongoing interest in FIS. We are pleased to start the year with a quarter of strong revenue, profitability performance, and earnings growth. Importantly, we are pleased to have a robust pipeline that positions us for another year of strong results. I look forward to sharing additional details about our accelerating growth plans and multi-year outlook when we convene at the St. Regis in New York City next week for our 2018 Investor Day. Joining Woody and me for a strategic update will be Marianne Brown, Chief Operating Officer of our Global Financial Solutions business; and Bruce Lowthers, Chief Operating Officer of our Integrated Financial Solutions business. In closing, I'd like to thank our loyal clients who depend on and trust us to keep their businesses running and growing every day. I'd also like to thank our leaders and employees for their hard work and dedication in serving our clients. It is because of both that FIS continues to empower the financial world. Thank you for joining us today.